Operator: Greetings, and welcome to the Hillenbrand, Inc. First Quarter and Full Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce Sam Mynsberge, Vice President, Investor Relations. Thank you. You may begin.
Sam Mynsberge: Thank you, operator, and good morning, everyone. Welcome to Hillenbrand's conference call, where we will be discussing our fiscal first quarter performance as well as the sale of a majority stake in our Milacron injection molding and extrusion business, which is within the Molding Technology Solutions or MTS segment, that we announced in our 8-Ks in our earnings release yesterday afternoon. I am joined by our President and CEO, Kimberly K. Ryan, and our Senior Vice President and CFO, Robert M. VanHimbergen. I would like to direct your attention to the supplemental slides posted on our IR website that will be referenced on today's call. Turning to Slide three, please note that our comments may contain certain forward-looking statements that are subject to the Safe Harbor provisions of the securities laws. These statements are not guarantees of future performance; our actual results could differ materially. Also, during the course of this call, our discussion of results will exclude any prior year impact from the discontinued operations of Batesville, as well as certain non-GAAP operating performance measures. The Q1 results we will be discussing today include Milacron on both a consolidated basis and within our MTS segment. Robert will discuss the impact of the transaction on our future reported results later in the call. I encourage you to review the appendix in Slide three of the presentation as well as our 10-Q, which can be found on our website for a deeper discussion of non-GAAP information, forward-looking statements, and the risk factors that could impact our actual results. With that, I will now turn the call over to Kimberly.
Kimberly K. Ryan: Thank you for joining us on today's call. Before we jump into the quarterly results, I would like to provide an update on the portfolio announcement we made yesterday after market closed. Following an in-depth portfolio review, we have reached an agreement to sell approximately 51% of our Milacron injection molding and extrusion business to an affiliate of Bain Capital for $287 million while we retain approximately 49% ownership. This transaction reflects the continuation of Hillenbrand's transformation, as we have significantly reshaped our portfolio towards being a higher margin, higher growth, less cyclical portfolio of industrial leaders in highly engineered processing equipment and systems. As you know, we began this transformation journey a little over three years ago, and over that time, we have divested our secularly declining death care segment and completed several strategic acquisitions that increased our scale in the attractive food, health, and nutrition end markets, now representing just shy of 30% of our total revenue mix on a pro forma basis. We are confident this transaction will deliver value to Hillenbrand and shareholders, as well as the Milacron team. Bain Capital has a proven track record of successful corporate partnerships and will provide greater focus and resources to help Milacron drive future growth and success for its associates and customers. The transaction will enable Hillenbrand to maximize shareholder value by concentrating our resources on growing our core business, accelerating our commitment to deleverage, enhancing our margin profile, and reducing our cyclicality. Additionally, by retaining an ownership stake, we maintain the potential for future returns from the Milacron business, which we believe has many opportunities under this new structure. Robert will provide additional details regarding the transaction a bit later in the call. Now, touching on our Q1 performance. As expected, this quarter was characterized by continuing uncertainty around inflation, interest rates, and government policy. Despite these persistent pressures, our performance reflects the hard work and dedication of our associates. I am proud of their determination and focus, as they delivered revenue and adjusted earnings per share in line with our expectations. As anticipated, overall order volumes were relatively soft, largely driven by lower capital equipment demand related to plastics projects, partially offset by strong order performance within our food, health, and nutrition portfolio in our Advanced Process Solutions or APS segment. Our customer quote pipelines remain robust across the enterprise. Test lab utilization continued to be high, and aftermarket orders in APS reached a new record level. Consolidated revenue in the quarter was $707 million, down 9% year over year, and adjusted earnings per share of $0.56, down 19%. But as mentioned, this was in line with our expectations due to the lower starting backlog coming into the quarter. I will now provide a little more color on the dynamics we are seeing across our segments. Starting with polymers and performance materials and APS, we remain a market leader for high-quality, high-output feeding, used in the production of base resins, engineering plastics, recycled materials, and other specialty chemicals. We strongly believe in the underlying secular trends that support long-term demand in these markets: a growing global middle class, increasing focus on efficient and sustainable solutions, and the evolving global supply chain. As investment in China returns to more normalized levels after a significant wave, which benefited us in recent years, future capital investment opportunities remain strong in India and the Middle East. These regions continue to be attractive for growth, and our strong geographic footprint with local presence already in place positions us well to capitalize on these opportunities. Customer quote pipelines, especially in these regions, remain healthy despite persistent global macro uncertainty. We are closely monitoring the demand environment and have taken prudent cost actions in response to near-term volume levels while also ensuring we remain well-positioned given our long-term growth outlook. These actions include several facility consolidations, which create centers of excellence, adding to our flexibility and creating more efficient capacity utilization for the long term. In our food, health, and nutrition or FHN end markets within APS, we are encouraged by signs of increased demand across all key application areas, including baked goods, pet foods, snacks and cereals, and pharmaceuticals. This growth is supported by broad-based geographic strength led by North America. This improving demand environment was exemplified by record orders for our FHN end market in the quarter. I am tremendously pleased with how our teams have accelerated our integration initiative, as we delivered high teens margins again this quarter, remaining on track to achieve our $30 million run rate cost synergy target by the end of the fiscal year, which is significantly ahead of our initial timeline. Additionally, we are making great strides in cross-selling opportunities, which we expect to accelerate as market conditions continue to improve and as customers respond positively to the breadth of our highly engineered systems, engineering capabilities, and geographic reach. Finally, turning to aftermarket and APS. As I mentioned, orders were of record in the quarter, largely driven by the value-added services we provide through the lifecycle of our equipment, such as large modernization projects. Our FHN business also continued to build momentum by driving a more proactive approach to aftermarket as part of our integration efforts. Aftermarket revenue in the quarter was negatively impacted by timing due to the large number of modernization projects and the naturally longer duration of these projects, which are recognized using percentage of completion accounting. These attractive upgrade projects are an important part of supporting our long-term customer partnerships. Now turning to the MTS segment. I would highlight that Q1 demand was in line with our expectations, reflecting typical seasonality and ongoing market slowness. We continue to see softness in North America, particularly in automotive, as tariff uncertainty has significantly slowed new investments in that sector. Europe also remains relatively sluggish across most areas, but we are observing a trend of improving stability in Asia, with solid momentum in India, especially for packaging and consumer goods projects. Looking ahead, we expect the North America and European markets to remain fairly tepid in the near term as customers wait for more clarity regarding tariffs and inflation. As a reminder, our fiscal Q2 for the Hotrunner product line usually remains relatively consistent with Q1 due to the impact of the Chinese New Year. This is reflected in the Q2 guidance Robert will cover in a moment. I will now spend a few moments discussing our production. Generally, our production is used to serve demand for the region in which we are producing. In response to COVID, we accelerated our efforts around localization, especially as it relates to China. We have largely mitigated the China tariff impact and continue to identify strategic sourcing opportunities to reduce the direct impact even further while monitoring the dynamic trade policy discussions that remain ongoing for other regions. In summary, our first quarter was in line with our expectations despite ongoing global macroeconomic uncertainty. That said, I remain extremely confident in our strategy and the long-term catalysts for our business. I will now turn the call over to Robert to discuss the financials, the transaction, and our outlook in more detail.
Robert M. VanHimbergen: Thanks, Kimberly, and good morning, everyone. As a reminder, the Q1 results I am discussing today still include the full performance of Milacron. Turning to our consolidated performance on Slide five, we delivered revenue of $707 million, down 9% compared to the prior year, but in line with expectations. Favorable pricing and synergies were more than offset by lower volume and the lower starting backlog entering the year. Adjusted EBITDA of $97 million decreased 15% as favorable pricing synergies and the impact of cost actions, including the MTS restructuring we completed in fiscal '24, were more than offset by lower volume and cost inflation. We delivered a consolidated adjusted EBITDA margin of 13.7%, a decrease of 110 basis points compared to the prior year, largely due to lower volume. We reported GAAP net income of $6 million or $0.09 per share, down from income of $17 million or $0.24 per share in the prior year, largely due to an increase in business development and integration costs. Adjusted earnings per share of $0.56 decreased $0.13 or 19% year over year and was in line with our expectations. Our adjusted effective tax rate in the quarter was 29.2%. Our cash flow from operations represented a use of $11 million in order, which was favorable by $13 million compared to the prior year, primarily due to improved working capital efficiency. As a reminder, Q1 is seasonally a lower relative cash flow quarter for Hillenbrand. Capital expenditures were $10 million in the quarter, and we returned approximately $60 million to shareholders through our quarterly dividend. Now moving to segment performance, starting with APS on Slide six. Revenue of $511 million decreased 10% compared to the prior year, driven by lower volumes, primarily due to the lower starting backlog coming into the quarter. Adjusted EBITDA of $83 million decreased 14% year over year. Although lower volume and cost inflation were headwinds in the quarter, we were able to limit the decremental impact to approximately 22% versus our standard flow-through of roughly 30% to 35% due to the benefits of favorable pricing, synergies, and productivity. We delivered an adjusted EBITDA margin in the quarter of 16.2%, which was down 70 basis points over the prior year but in line with expectations. As Kimberly mentioned, we have recently executed several footprint optimization initiatives, and we will continue to evaluate cost actions to help mitigate the near-term market uncertainty. Backlog of $1.6 billion decreased 17% compared to the prior year. Orders were as anticipated in the quarter, as customers continued to delay order decisions. Uncertainty around interest rates, government policy, and inflation remain key factors in driving customer decisions over the near term. We remain confident in our competitive positioning and our ability to drive strong performance once order decision timing normalizes. Now turning to MTS on Slide seven. Revenue of $196 million decreased 5% year over year, and adjusted EBITDA of $27 million decreased 15%, and adjusted EBITDA margin of 14% decreased 170 basis points due to lower volume, cost inflation, and ongoing pricing pressure, partially offset by the benefit of the restructuring completed last year and other discretionary cost actions. Backlog of $233 million increased 1% compared to the prior year. Orders were in line with expectations in the quarter, but we do not yet see a broad-based recovery in the near term. However, positive movement in Gardner's Smokemaking Index, stability in Asia, and strength in India do give us cautious optimism as we look ahead over the medium term. As a point of reference, approximately 78% of the Q1 ending backlog is related to the Milacron injection molding extrusion business. Now turning to Slide eight, net debt at the end of the quarter was $1.7 billion, and the net debt to adjusted EBITDA ratio was 3.4 times, which was in line with our expectations. Debt reduction continues to be our top priority for capital deployment, and all net proceeds from the Milacron sale will be used for this purpose. Based on the estimated close timing, we anticipate leverage will increase modestly in Q2 before dropping to the low 3s by the end of the fiscal year. Before turning to our outlook for Q2 and the remainder of the year, I will touch on some additional transaction details from last night's announcement. We have entered into a definitive agreement to sell approximately 51% of the Milacron injection molding extrusion business in MTS for $287 million, subject to customary closing adjustments. We expect net proceeds after tax to be approximately $250 million to be used for debt pay down. For reference, in fiscal 2024, Milacron generated $526 million in revenue and $64 million in adjusted EBITDA. We anticipate this transaction will be completed at the end of our fiscal second quarter or early in our fiscal third quarter. Following the close, our results will improve approximately 49% of Milacron's net income, which we will report as equity income at corporate. The impact of these changes is reflected in our updated 2025 guidance, which I will now cover on Slide ten. Based on the expected close timing, our fiscal year guidance now reflects approximately six months of Milacron's performance, and we have removed their expected performance from the second half of the fiscal year, which translates to an adjustment of approximately $300 million in revenue and $41 million in adjusted EBITDA, which is net of the proportionate share of their net income we expect to recognize following the transaction's close. On the adjusted EPS line, this impact is partially offset by the expected reduction in interest expense. You can see the reconciliation of these impacts on Slide ten. Now turning to Slide eleven, I will cover updated guidance in more detail. After adjusting for the Milacron transaction, our full-year outlook for Hillenbrand assumes revenue of approximately $2.63 billion to $2.8 billion, adjusted EBITDA of $411 million, and adjusted earnings per share of $2.45 to $2.80. Our updated full-year operating cash flow is expected to be approximately $150 million, with approximately $45 million of expected CapEx. We do not anticipate a material change in our effective tax rate as a result of the transaction. In summary, outside of the impact of the Milacron transaction, we are maintaining our previous outlook for the remaining businesses. This is based on our original assumption for foreign currency exchange rates, which assumes rates would be in line with the fiscal 2024 exit. However, the recent strengthening of the U.S. Dollar against other world currencies could become a more significant translation headwind to our as-reported results if this persists. Additionally, we are monitoring the potential impact of tariff policy, but given the fluid nature of the current environment, we have not included a material impact to our outlook related to the potential tariffs in Canada or Mexico. Given these factors, along with the potential effect of geopolitical uncertainty on customer order timing, we will continue to be focused on managing our discretionary costs and identifying additional mitigating actions as needed. Finally, for Q2, we expect consistent performance with Q1, targeting revenue of $685 million to $705 million and adjusted earnings per share in the range of $0.53 to $0.58. On a sequential basis, this reflects modestly improved operational performance, mostly offset by unfavorable FX. Please review Slide eleven for additional guidance assumptions. With that, I will turn the call back over to Kimberly.
Kimberly K. Ryan: Thanks, Robert. Before we open the line for Q&A, I will end our prepared remarks with a few closing comments. Our strategy remains intact, and the competitive strength of our leading brands, combined with the enhanced focus on our core business, will enable us to return to a solid growth trajectory once current macro pressures are resolved. We remain confident in the team's ability to execute on our strategic initiatives, diligently manage costs, and navigate the current market conditions to position Hillenbrand for long-term success. With that, operator, please open the line for questions.
Operator: Pick up your handset before pressing the star keys. Our first question is from Daniel Moore with CJS Securities. Please proceed.
Daniel Moore: Kimberly, Robert, good morning. Thanks for taking the questions. Start with fundamentals and then get into the, I am sure, the more questions on the transaction. But starting with APS, you know, the large polyolefin projects and business, you said that customer quote pipelines remain healthy. Are you hearing from customers in terms of what they need to see in order to move from quoting to placing orders? Now is it interest rate clarity, administrative, you know, geopolitical? What gets them off the sideline in placing orders again?
Kimberly K. Ryan: Yeah. I think the geopolitical stuff has certainly got everyone's attention right now, as we had indicated in our last quarterly call, Daniel. I think people want to make sure that they understand before they are making major investments in certain areas exactly what the financial implications of that are going to be. So the pipeline remains strong, especially in areas like India and Saudi Arabia. In fact, those continue to stay strong and improve, and we have continued our conversation there. But I do think people are waiting for a little bit of this turmoil to level out. And so those are a few of the things that we are hearing. I think relative to the polyolefin projects, you know, the larger the project, kind of the less specifically it is tied to interest rates, the more midsize the project, that is what is really more tied to interest rates, and then obviously inflation is a concern and how tariffs may impact the cost of these projects and the payback period. Those are the things that people are kind of watching.
Daniel Moore: Understood. Really helpful. Aftermarket is encouraging, you know, as expected with kind of counter-cyclical will reach a new record. What was it? Does it percentage of revenue and what is the outlook for the next few quarters?
Robert M. VanHimbergen: I am sorry. Daniel, that was an aftermarket question? Yes. Yeah. Aftermarket, you know, I believe you said reached a new record. Just trying to get, you know, a percentage of revenue and then the outlook.
Daniel Moore: Yeah. Great. Yep. Yeah. So orders were strong, as we mentioned. They were close to, like, almost 40% of total, like, I would say orders for the quarter and revenue for the year. So high thirties is the way I would think about that. Right? Would mention that we did have a mix toward those modernization projects that Kimberly highlighted. And so those are projects that are like midterm, midsize refurbishment projects that will be generated revenue over seven to ten months. So revenue comes over that period on a prorated basis, but those can be lumpy as well at the timing of those orders. Revenue, again, coming forward in the next seven to ten months on that. And say for the full year, you know, I think we are probably, you know, we are always targeted at 30%. We have been a little bit north of that here in the quarter and probably the rest of the year just as we see, you know, improvement in the aftermarket profile, but also as those capital projects, obviously, we are down a little bit this year, the lower starting backlog.
Kimberly K. Ryan: Yep. And so that is a positive on the APS kind of the legacy Coquirium side. We also continue to see, you know, good activity in terms of aftermarket. You remember that was a key part of our value proposition when we acquired all the assets that roll up under FHN. That moniker today, you know, a lot of the organically organization together. They have begun more proactive selling in that arena and are really putting in some of the standard kind of operating model practices. Those have really begun to bear some fruit in the FHN part of the business as well. And even our hold masters business has really been much more proactive about making sure that any service on their assets out in the field is going to be performed by us as the OEM. And so, you know, a lot of good things going on in the aftermarket arena in all of the businesses, I would say.
Daniel Moore: I assume that is part of your ability to manage the decrementals as, you know, higher mix of higher margins. Absolutely. In your term.
Robert M. VanHimbergen: Yeah. Okay.
Daniel Moore: And one more. And then I will jump back in queue, and we will circle back to the transaction. But the FHN business obviously, you know, long-term tailwinds are pretty clear. Sounds like the kind of current pause there is starting to thaw, and you are starting to see more opportunity there. Maybe just kind of give more color what you are seeing by geography or end market?
Kimberly K. Ryan: Yeah. We are encouraged by the things that we are seeing in our food and pharma areas, specifically North America was very strong this quarter, and we saw it in several of the markets, you know, food and in the snack and confectionery, baked goods, pet foods. So we saw a lot of strength in those markets in the quarter, and we expect that we will continue to see that for the year. So we are very encouraged by that. I think that the exciting part about that is that we are also starting to do more cross-selling across those product portfolios. You know, they operated pretty independently in the environment that they came from, especially the Lexus assets. And as they come together, with that kind of Copirion mindset around happy to sell individual pieces of equipment, but also more than happy to be a consultant adviser on subsystems and full systems, that we can offer the full breadth of our capabilities to our customers. And that has been, I think, that is being well received in the market. So led by North America at this point, which is kind of not surprising because that is where our largest footprint is. But at any rate, we are quite encouraged and see a lot of good things coming from those teams who really, in earnest, started there, really brought together their entire organization under their new management structure, and all of that was completed October first. And so very, very excited about the opportunities that they are going to have in front of them.
Daniel Moore: Great. I will jump back with a few follow-ups. Thank you.
Kimberly K. Ryan: Great. Thanks, Daniel.
Mitchell Moore: Was just wondering if you could maybe talk about what drove the decision to sell a majority stake in Milacron rather than a full divestiture and what that process looked like internally. And then just how you view the strategic fit for the remaining MTS assets?
Kimberly K. Ryan: Yeah. So we, you know, we have discussed several times how we do a very regular review of all of the assets in our portfolio to determine, you know, kind of on three vectors, value to us, value to others, and the ability of the market to and attractiveness of the market to look at these assets and bring the greatest return for shareholders. And so we determined that it was an appropriate time to evaluate what types of opportunities there were for that. In the end, we determined that this was the best way for us to create return and future opportunity for our shareholders and the best opportunity for Milacron to have some differential investment in growth for their future. So we believe this structure and this partnership is a great match for the Milacron company, for Hillenbrand, and for Bain Capital. So this is, you know, something that we are excited about. I think our associates are excited about, and it gives us the opportunity then to focus all of our energy on continuing to focus on these core businesses that we remain. Continue to focus on debt pay down, and that we believe is going to create the greatest return for shareholders. We still see opportunities. You know, we like the Milacron business. It was certainly one of the more cyclical businesses in the portfolio. And so that was one of the more strategic reasons that we investigated the alternative. We believe that there is, you know, we like the businesses we have in the portfolio. We believe there is a lot of opportunity in them to continue to go forward, and we, you know, we but obviously, we continue to evaluate all the business all the time to make sure that we are the best owners in creating the best outcome for shareholders.
Mitchell Moore: Great. That is super helpful. Then just maybe in a normal operating environment, could you flush out what MTS looks like now from a growth margin perspective? And maybe with the proceeds of the sale, could you provide an update to when you expect to be back within leverage guardrails?
Robert M. VanHimbergen: Yeah. Sure. So I will take the first one, and then I will cover the second one, Mitchell. Yeah. So the proceeds of the sale, we expect this transaction to close, I would say, at the end of March or early April. And that will help us delever by approximately 0.2 turns. And so what that gets us to at the end of the year is in the low threes. So we will not be within our guardrails of 1.7 to 2.7, you know, this fiscal year, but I would highlight that debt pay down still is our number one priority for capital allocation. And then on your first question related to the MTS segment, so keep in mind that, you know, this business has been depressed with volumes and pricing pressure the last, you know, almost two years now. And so we, you know, we see once this gets back to, I would say, normalcy, you know, that the margin of this business should be in, you know, the mid-twenties. And maybe a little bit north of that as far as margins. And, you know, generally speaking, this business is a short-cycle business, and historically, it does when it recovers, it recovers back pretty quickly. But I would think of this business, over the medium to long term, as a low single-digit growth business. And margins in that, again, that mid to high twenties.
Mitchell Moore: Okay. Great. I will hop back in queue. Thanks.
Kimberly K. Ryan: Thank you.
Operator: Our next question is a follow-up from Daniel Moore with CJS Securities. Please proceed.
Daniel Moore: Yes. Thank you very much. Following up on the transaction, just getting into the weeds a little bit, how do we think about, you know, maybe that transaction multiple? It, you know, with the capital structure, the new entity, just to get a sense there. And you know, what is the end game? Do you expect to sell the remaining 49% at some stage? Or no? And I think you answered, you know, if there are remaining assets that you would consider non-core. A lot of questions there, but I guess focus on the Milacron transaction first.
Kimberly K. Ryan: Yeah, maybe I will start with that. I will start with a little bit of math.
Robert M. VanHimbergen: Yeah. So the multiple, Daniel, you know, when you look at the face of what it would look like, you are going to get, like, something like a nine multiple, but the capital structure of the deal is not quite as clear. And so I would assume it is, like, in the six to seven range of the multiple that we got on that. And so the accounting for that, you know, keep in mind, we are going to get, you know, $285 million give or take to $250 million net of tax, you know, on the sale. Then we will retain that 49% ownership in that business, and then we will record equity income on that, which will be our 49% of their net income moving forward. And so, again, our guidance, we have got about $4 million of earnings in the second half of the year associated with that transaction. Hope that gives you a little bit of clarity on that.
Kimberly K. Ryan: In terms of the long term, Daniel, I would, I think, you know, really, we see a lot of opportunity for them to, you know, to continue to explore investment opportunities for growth. And so I think that a lot of that endgame obviously depends on how those strategies set out. You know, Bain Capital, you know, I do not want to speak for them. They will be operating the company, and they will be determining the outcomes of it. We will be a minority interest holder in that. So I think it would not be appropriate for me to speculate on what their time frames are, how they plan to move forward with that. But we believe that based on the opportunities and investments that they will pursue in that business, then that it will create, we felt that that would definitely have the opportunity to create the greatest outcome for our shareholders over the long term.
Daniel Moore: Understood. Makes sense. Very consistent with, you know, the strategy you have laid out. Just, Robert, to clarify that $4 million is the equity income. It is kind of net of equity income and any TSA payments. Is that the right way to think about it?
Robert M. VanHimbergen: Yeah. So that is right. So that equity income will be reported at corporate. And then as far as TSA, Daniel, corporate costs, so our corporate costs would be pretty consistent with what we have laid out in the original guide that we gave at the beginning of the year. So we will have, obviously, a period of time where we will be supporting that business with corporate costs and obviously charging transactional services to that entity. And so we have been focused in the last probably six months, as you know, as you can see from our corporate costs. We have been really managing that knowing that this event was a potential. And so I think the way I think about it is our corporate costs will be pretty consistent here with what we have got at the beginning of the year because we will be incurring those costs and charging those out to support that Milacron business.
Daniel Moore: Okay. Then similar to the Milacron question, you know, pro forma, you know, let us go eighteen months. Market normalizes a little bit. How do you think about kind of the overall, you know, EBITDA margin and, you know, maybe free cash flow conversion capabilities of the assets that we have in place, you know, post the divestiture?
Robert M. VanHimbergen: Yeah. So if you are thinking eighteen months down the road, Daniel, I still think obviously if there is a normalcy in recovery in the hot runner business, you know, I think again that is going to be in that mid to high twenties margins growing at, you know, low single digits on the top line. And then, you know, APS, we continue to improve margins there. We can see that FHN business get to historical margins. And so once again, like, this quarter, you know, they performed extremely well in that high teens margin. So I think, you know, we will probably be, call it high teens, low twenties in that APS. And then in the MTS segment, it will be in that mid-twenties and, you know, maybe eighteen plus months in that high twenties.
Daniel Moore: And that free cash flow conversion?
Robert M. VanHimbergen: Oh, I am sorry. Yeah. You know, our target is still 100% of conversion. And so if we were eighteen months out, I think we will be a lot closer to that number, considering, you know, a lot of the integration stuff will be behind us. So I would kind of think about it that way, Daniel.
Daniel Moore: Okay. That is it for me. Thank you.
Kimberly K. Ryan: Thanks, Daniel.
Operator: With no further questions in the queue, I would like to hand it back over to Kimberly for closing remarks.
Kimberly K. Ryan: Thanks again for joining us, everyone, on the first quarter call. We appreciate your ownership and interest in Hillenbrand. And we look forward to talking to you again in late April when we will cover our second quarter results. Thank you, and have a great rest of your day.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.